Operator: Welcome to the Fourth Quarter Investor Conference Call. Today’s call is being recorded. Legal counsel requires us to advise that the discussion scheduled to take place today may contain forward-looking statements that involve known and unknown risks and uncertainties. Actual results may be materially different from any future results, performance or achievements contemplated in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the company’s annual information form as filed with the Canadian Securities Administrators and in the company’s Annual Report on Form 40-F as filed with the U.S. Securities and Exchange Commission. As a reminder, today’s call is being recorded. Today is February 15, 2017. This time for opening remarks and introductions, I would like to turn the call over to Chairman and Chief Executive Officer, Mr. Jay Hennick. Please go ahead, sir.
Jay Hennick: Thank you, operator, good morning and thanks for joining us for the fourth quarter and year end conference call. I'm Jay Hennick, as the operator said Chairman and Chief Executive Officer of the Company and with me today is John Friedrichsen, Chief Financial Officer. This conference call is being webcast and is available in the Investor Relations section of our website. Presentation slide deck is also available to accompany today's call. Earlier today, Colliers reported record quarterly year end results. For the first time in our history revenues generated in the Americas topped the $1 billion mark. In terms of our results for the quarter, revenues were 576 million, up 5%, EBITDA was 90 million, up 14%, and earnings per share came in at a $1.22, up 15%, all comparing favorably to a very strong fourth quarter last year. For the year, revenues were 1.9 billion, up 10%, EBITDA was 203 million up 12% and earnings per share was $2.44 per share, up 7% over the prior year. These results demonstrate excellent year over year growth and take us one step further in our ambitious plan to double the size of our company by 2020. John will have more to say about the quarter and the year end results in just a few minutes. Let me touch on some of the highlights though. Despite a softer than expected third quarter, we rebounded nicely in the fourth, not only did we make up the difference, we soundly exceeded our year end outlook. Once again, this demonstrates our business should not necessarily be evaluated on a quarter over quarter basis. The commercial real estate industry is not predictable and quarterly results can be impacted by a number of factors including unusually strong prior periods, the timing of transactions or external events like we had Brexit last quarter. During the year, we may further progress diversifying our revenues stream. Revenues from outsourcing and advisory reached 38% with 32% coming from leasing and 30% from sales brokerage, about 17% of our revenues now from outsourcing and advisory and leasing, both largely recurring. We also further diversified our revenues by geography, 54% now come from the Americas with the balance split between the EMEA at 25% and Asia-Pacific at 21%. Having a well balanced company underpins our already strong foundation and helps the smooth revenues especially in challenging markets. Operationally, we continue to win accolades as one of the best places to work, one of which was the recent recognition from Aon Hewitt in Canada appointing us the Gold Level Best Employer award. Our growth plan includes retaining top professionals to continue accelerating the success of our clients and our employees, but we always also look to increase our ranks especially in key markets where we have the opportunity to expand our services or our capabilities. During 2016, we were successful making several topics five recruits in key global markets including of course New York and London. During the year, we took steps to strengthen our Board with the employment of The Right Honourable Stephen Harper and as former prime industry. Mr. Harper brings unique geopolitical insights and high level relationships to our governance. The Colliers improvement growth strategy focused on growing internally at faster than the overall market and then augmenting that growth improved prudent acquisitions, proved out again. During 2016, we completed the total of 10 acquisitions, six in the Americas and four in the EMEA; and so far in 2017, we completed another trade. In the U.S., we significantly increased our scale and recovery to Northern California and Nevada adding Colliers Parrish, the company-owned operations. With nine offices, 400 professionals and market leading positions in Las Vegas, San Jose and Silicon Valley, this move expanded our operations in the West and aligned them with our company-owned offices in contiguous markets. In the UK, we added to our hotel and hospitality practice group with the acquisition of one Europe's leading hospitality asset management business. The combining operations now offer a full suite of services including hotel hospitality, investment agency consulting and now asset management services. In Europe, we added Colliers Denmark with the five offices and more 100 professionals, opening up an entirely new brokerage for us in the Nordic regions. One of the cornerstones of our Enterprise 2020 Plan is having the most technologically advanced capabilities of the industry. We continue to invest in technology. Just after year end, Colliers introduced a new fully-integrated industrial and logistics site selection and incentive negotiation technology called Colliers Insights along with industry leading Colliers 360 for corporate and Colliers Office Expert for office users. Colliers Insights is another example of how we differentiate. What you won't see from Colliers is an aggressive move to invest in different types of technology solutions. We believe careful and strategic investments in technology at a method base, is what is required. When considering technology spend, we concentrate our efforts on tools that add tangible and differentiated value for our clients while pumping our professionals become more effective at what they do. Looking ahead, we have every reason to be optimistic as one of the leading global players in commercial real estate with a highly recognized global demand and proven management team with a significant vested interest in our company. Colliers is an excellent position to continue to generate exceptional value for our shareholders. Then NFL Coach, Bill Parcells said, you are what your record says you are. Over the last 20 years, this Colliers management team has delivered 20% annualized returns for shareholders. This record performance is unique in this industry and speaks volumes about our ability to execute over the long term. With record results in 2016, the momentum we have achieved so far this year and the opportunities we continue to see, we expect 2017 results an another significant step forward in our achieving our ambitious growth plan. If we continue on this path, our employees what we rewarded for their dedication, our clients will be rewarded for their trust and our shareholders will be especially rewarded for their investment in shares with Colliers International. Now, let me turn things over to John and then we can open things up for questions. John?
John Friedrichsen: Thank you, Jay. As announced in our press release earlier this morning and highlighted by Jay in his opening remarks, Colliers International Group reported all time highs in our quarterly and reported revenues and earnings, strong consolidated financial results, and substantial contributions from all of our operations across our global platform, vesting a record performance in Q4 of 2015. I will address our overall consolidated financial results for the quarter and for the full year, our operating [Technical Difficulty] unless otherwise indicated all growth references are to results in global currencies. So, for our fourth quarter fiscal 2016, consolidated revenues increased to $576 million, up 5%, $556 million in the fourth quarter of 2015, with a 2% in total deployment revenues, and a 7% increase attributable to acquisitions. Total revenue growth for the fourth quarter in our U.S. dollar reporting currency was 4%. Adjusted EBITDA for the quarter totaled 90 million, up from 79 million in Q4 last year, an increase of 17% while margins increased 15.7% compared to 14.2% last year. Adjusted earnings per share came in at a $1.22, compared to a $1.06 per share last year, up 15% in U.S. dollars with FX negatively impacting adjusted earnings per share in the quarter by $0.03. In the full year 2016, consolidated revenues increased to 1.9 billion and 1.72 billion in 2015 with an increase of 13%, 4% the total growth in the balance from acquisitions. Total revenue growth from the year in U.S. dollar reporting currency was 10%. Adjusted EBITDA for the year totaled 203 million, up from 181 million in 2015, an increase of 15% while our margins grew 10.7% compared to 10.5% last year. Adjusted earnings per share came in at 2.4, compared to 2.9 per share in 0.15, up 7% in U.S. dollars. FX negatively impacting adjusted earnings per share full year by $0.07. Our adjustments derived on adjusted EBITDA and adjusted EPS are outlined in our press release issued this morning in the appendix of the presentation accompanying this call and are composed primarily of non-cash charges that we view is largely unrelated to our operating results and are consistent with those outlined historically. Turning to our operating results, I will focus my comments on our fourth quarter where there is additional full year information contained in the appendix to our presentation slides that accompanying this call. About 576 million of revenues in the quarter comprised of 198 million from outsourcing and advisory services, up 6%; 186 million in sales brokerage, up 5%; and 192 million in lease brokerage also up 5% with totaling the revenue 5%. Geographically, revenues remain well balanced with half of our revenues generated in Americas. The service line and geographic diversification remains an important part of our growth strategies. We feel that our global platform deliver our service across both the markets. Turning to regions; in the Americas, revenues were 291 million, up 5% with a 3% internal decline offset by 8% from acquisitions. Outsourcing and advisory services were up 12%, up by strong internal growth in project and profit management across the region and consulting appraisal in the U.S. while as the incremental impact from recent acquisitions. Sales brokerage revenues were up 5% versus the last year and an increase in the U.S. driven by growth in global headcount and recent acquisitions offset by a slight decline in Canada. Lease brokerage revenues were up 2% versus last year with our Canadian operations up strongly for our U.S. base which was essentially flat relative to the very strong finish in 2015. Adjusted EBITDA came in at 34.1 million versus 35.2 million last year, a margin of 11.7% versus 12.8% last year which was declined due primarily from revenue mix. Turning to EMEA, revenues of 152 million in the quarter increased 7%. Revenues declined internally by the 4%, but offset by 11% contribution from acquisitions. Outsourcing and advisory revenues declined 1% from a very strong fourth quarter last year while we saw solid growth and transaction revenues. Lease brokerage revenue was up 22% over the last year led by robust increases in Germany, Poland and Russia, as well as recent acquisitions. Finally, sales brokerage revenue was up 10%, strength in Germany offset by decline in UK which was impacted by generally lower market volumes in a strong compared to fourth quarter 2015. Meanwhile adjusted EBITDA increased 37% in our U.S. dollars of 34.9 million compared to 25.5 million of 2015, with our margin increasing 22.9% versus 16.8% last year due to a change in revenue mix, contribution from recently completed acquisitions. Finally, our Asia-Pac region, revenues came in at 132 million, up 2% from all generated return, attributable to gains in outsourcing and advisory services spread broadly across all markets in the region. Adjusted EBITDA was 24.5 million, up from 21.1 million last year with our margin at 18.5% versus 16.5% and benefiting from operational improvements made over the last year. Moving to our capital deployment and balance sheet, in our fourth quarter capital expenditures totaled 8.8 million, up from 6.7 million last year bringing our year-to-date CapEx 2016 to 25 million and below our previously estimated range spend for the year of 29 million to 32 million. Lower investment last year will be made up in 2017 with planned CapEx investment in the $34 million and $38 million range including workplace enhancement to cover losses to support our growth and productivity along with additional funding for technology investment to support our IT infrastructure and application. Turning to acquisitions, we invested 10.3 million during the fourth quarter compared to 17.5 last year bringing our year-to-date investment in acquisitions to 98.2 million versus 59.2 million last year. All this was funded by strong cash flow from operation, which totaled 156 million for the year, up 23% versus 2015, another all time high for Colliers. Our net debt position stood at 149 million at the end of the quarter. Our leverage ratio expressed of net debt to adjusted EBITDA stood at 0.7 times compared to 0.8 times at the end of 2015 making our balance sheet and financial position amongst the strongest in our industry. As we recently announced subsequent to year end, Colliers completed an increase in its revolving credit facility of 525 million to 700 million with the option for an additional $150 million uncommitted accordion provision. We extend our maturity to January 2022, with cash on hand and committed availability under our revolver pro forma for the increased commitment. We had over 500 million of liquidity to start the year, little more than ample to fund our operations in our capital investments including acquisitions needed to execute our growth strategy. Looking across our global operations, our pipelines in most markets continue to reflect solid commercial real estate activity, comparing favorably to levels at the beginning of 2016 with some elevated geopolitical and economic uncertainties in UK and other major markets in Europe facing elections in 2017. Notwithstanding this uncertainty, the fundamentals supporting sustained activity levels in commercial real estate remain intact. We believe that low but slightly rising interest rates, accessible financing and the general stability in the supply and demand for commercial real estate in most markets bodes well and continued solid activity, sales, leasing, other commercial real estate services as those the more secular trends we are outsourcing by owners and occupiers. With factors underlying with following comments drilling outlook for 2017, which is preference under no material changes to market conditions compared to 2016 while acknowledging geopolitical risks will remain elevated. Our best estimate for revenues is high-single-digits from low-double-digit percentage growth in local currencies including the impact of acquisitions completes day in 2017 while well considering further acquisitions. We expect low single digit percentage internal growth, revenues in local currencies. EBITDA margin consistent with 2016 based on additional operating leverage balanced against selected investing strengthen our operations and high-single to low-double-digit percentage growth adjusted EPS. Our long-term growth strategy building the strength and Colliers global platform remains intact and focused on. One, selectively including key markets for full service line gaps. Two, investments and infrastructure geared towards affording productivity and client service delivery. And three, strategic acquisitions to add services and build our capabilities in major markets. That concludes our prepared remarks. And I would like to ask our operator to open up the all for questions.
Operator: [Operator Instructions] The first question is from Anthony Zicha from Scotiabank. Please go ahead. 
Anthony Zicha: Jay, in light of the current market conditions and geopolitical risk, do you see any change around your five-year plan? And also if you can comment on Dylan's remarks yesterday that the CRE market is somewhat overheated? Or are you seeing increase in speculative lending and do you believe the market is healthy?
Jay Hennick: So, first of all, the answer on our 2020 Plan is no. We, as you know, Tony has been with us for a lot of years. We’re in industry we think has tremendous opportunity and the market is bigger in this business, perhaps in many of the businesses, we've been involved with over many, many years. So, 2020 Plan is intact, internal growth as you can see with all of the peers is below. I would have asking historically, but that is -- we’re right on track ahead of them in some cases behind them and others. But we believe 2020 is on track and we’re excited about that hopefully doubling the size of our business by then. In terms of the Dylan's comments, I have to tell you I sort of smiled when I hear comments by major players in some cases. When I read a comment, I thought it was entirely relating to the heat in the condo markets and other multi-family markets across the U.S., but it really I think is relating to the higher prices in condos, taking up a realistic view of the marketplace as the Canadian government has done another -- I don't think, China has done the same thing. So, I wasn't troubled by that at all. The message that she's sending in part is directed at the banks and with a potential increase in interest rates, which I think will be modest if at all, and not really impact our industry in any major way at modest. I think it’s really just her saying to the banks be careful in your lending practices, and I think that of our experience the banks have been very cautious around lending. And so, I think it’s a good directional signal, but I don’t see it impacting us, in fact in some prospects softness in the market as you’ve seen in the past has been positive for us, and we’ve used this an opportunity to capitalize on a covenant addition that we might not have otherwise been able to get in a very strong market, and we’re seeing a little bit of that in our acquisition pipeline.
Anthony Zicha: Okay. Great. And quick question for John. When we look at the guidance and looking at low single percentage of internal growth, so where is this growth going to come from? And reference to Q4 was week, it was negative 3%, so do we also expect to rebound here?
John Friedrichsen: Well, I think it's you know, again as Jay and I have tried to well handle this quarter. So, we were coming off an exceptionally strong finish to 2015. So, we got 2016 from internal growth, we spoke that off. But our outlook around internal growth is really driven off of our expected level of activity, obviously on the transaction side, which is indicative by the level of pipelines we have, it is really in the year, but given where we're while in 2016, certainly our term growth last year with the year was quite good, coming in instead of mid single digits. We expect perhaps to be as quite less leveled, but still very-very supportive of low single digit growth for the entire year, this year. I would obviously extend your outsourcing and advisory services in turnout transactions revenues reference, but other than [indiscernible].
Operator: The following question is from Frederic Bastien from Raymond James. Please go ahead.
Frederic Bastien: You’re still quite while significantly under levered pro forma the acquisition of Colliers Parrish and you also increased your credit facility. So based on that, just wondering how you you’re looking at acquisition this year. Are you expecting an equally active year as you experienced last year? Are we to expect larger acquisitions or kind of more of the same going forward?
Jay Hennick: Good question. We have a lot of potential acquisition opportunities in the pipeline whether we didn't complete it, is of obvious of issue, but we like our pipeline. There is a lot to do and this is a global opportunity. So, it’s more about strengthening individual markets. Although, there is some new market additions, but having the additional capacity, that doesn’t really change. Our free cash flow has becoming so strong, that we could fund virtually all of our 2020 initiatives from internal cash flow. We increased the line because we’re seeing some new opportunities that are could be considered larger. You followed us long enough to know that we would be extremely cautious about those types of things, but we’re seeing some very interesting ideas. And our way is to plant a lot of seeds and take a look at where we’re going to be in 2020 and beyond and potentially takes some steps now would position us well for beyond Enterprise 2020. So, we just want to have the availability, is there, I believe more is there, if we wanted. We've never had any issues in terms of access to capital except from the early days when we just started. But I think for anything that’s proved to make sense and is along the lines of what we do and leveraging our now global platform booths on the ground, all around the world. I think almost anything is open to us in terms of new opportunities. So, we’re looking for at terms of nothing pressing, I don’t want to mislead you that way, but we're doing a lot of looking and we’re doing a lot of talking.
Frederic Bastien: Thanks for that. I appreciate you gave guidance on the margins for this year, but just wanted to look back at your full year results in 2016. Your margins held relatively steady across regions despite all the uncertainty that you experienced and some generally more challenging conditions. What do you attribute this to, is it just your scale now allows you to have a more stable business performance or I am just curious as to if you could give some color on that?
Jay Hennick: You know a lot of it is about a scale. I mean the day benefitted overtime from what we’re seeing on increasing our size and focusing on productivity around our people and we’re also going to get impacted by acquisition related impact on mix and I think overtime due to investment in business, should have some any dramatic change in our mix which we’re not focused on and maintain these current mix of will be additional operating leverage overtime. But at the same time, not going to be overly focused on the market and hence our view is we’re stable margins this year and outstanding enrolment. And for that mix related it has just continued to focus on investing in our business for the long-term. So we’re trying to balance those two things and there is still that you can help the margins.
Operator: The following question is from Brandon Dobell from William Blair & Co. Go ahead sir.
Brandon Dobell: If you've taken the margin question, a little further as well, as you think about the opportunities for investments as well as the mix-shift dynamics going on in the different geographies, and I know you talked about kind of overall stable margins. But should we expect any real trajectory change within the different geographies i.e. the U.S. seeing more investments or fewer headwinds from the outsourcing and advisory businesses or maybe vice versa and EMEA for example?
Jay Hennick: I don't think there's anything dramatic there, couple of things about margins. The U.S. we've still got some significant upside opportunity for us. So, we're very-very focused on that and we'll continue to focus our reference around scale and local productivity and things like that which will allow us ultimately to improve our margins in the U.S. The reality is that notwithstanding a very-very solid business in the U.S. Our margins outside the U.S. were higher and when you consider the whole picture has been negatively impacted by even FX, as they translate into fewer U.S. dollars. At some point, we think that will reverse, but we're pretty comfortable with where we are with respect to margins. But again focused in certain areas particularly U.S. and improving everything we have with.
Brandon Dobell: Okay. And maybe Jay if you think about the M&A environment, but more about from a 2020 plan, which you expect the business mix to look like looking out that far, no, it's a bit of a crystal ball here. But if you had a preference for allocating capital into different service areas, how would you rank where you'd like to put the bigger chunks of capital in the business income by service line?
Jay Hennick: So, I lookout the 2020 Brandon, I see our mix diversification of both revenues and geography or services in geography is pretty good right now. We're circa 40% versus outsourcing, leasing is recurring as well, so give or take 70% of our business is repeat recurring revenue, which is a pretty good mix for an advisory business. And if we just execute on 2020, I think we're double the size with give or take the same kind of mix you know outsourcing as advisory might go up another 4-5% just because we’ve received some interesting ideas there. I know that's only part of your question, but you know the consolation prize for us is 2020 what do we look like in 2020 and I think we look give or take the same as we do today only double what we were in 2015 when we split the Company. In terms of allocating capital, our view and you and I have discussed this several times in our meetings and double conversations. We believe as an organization, we want to stay as close to the C-Suite and to the intellectual component of real estate decision making. So, that weighs very heavily on our decisions around larger acquisitions. Although, we have experienced providing FM like services and other repairs and things like that, but some of the others are doing. We believe that there is other risks associated with that, at this point in our development, you don’t have to pursue. So, I hope that helps give you some direct on thought processes around this and we think that there is a lot of that potential in the marketplace.
Brandon Dobell: Okay. And then final one for me, maybe for actually other one, because given the cadence of the acquisitions you’ve made over the past. I don’t know 12 to 18 months and the number of them. Do you feel like you’ve got, let’s call it the cost side, the expense side of all that M&A I know kind of run out of those transactions? Or is there still more heat to reduce work synergies, but office consolidations, technology, back-office consolidations, those kinds of things to drive the operating expenses for those acquired entities down toward although you can't feel as more, I guess more comparable to how you guys running internal businesses?
Jay Hennick: Well, John, I will give you more elegant answer, but I’d say absolutely not, absolutely not. There are some pretty interesting opportunities to streamline overlaps. And one of the reasons that and the U.S. is a great example. Our margins in the U.S. are pretty respectable, but we think that we can move them up maybe 200 basis points. And that’s all is going to be around becoming more efficient getting rid of duplication. And we consider ourselves to be pretty good at integrating acquisitions, acquisitions isolating whether its overlaps, in many ways it simplifies our business proposition or business model, allows our now new branches offices to operating more effectively, deliver better value to their clients, look better to their clients, offer better replace to their clients without having a channel complex between their own marketing department that they used to have at our national or international global marketing department to just one example. So, I think that there are still lots to do. It’s also -- we're also a service business, so the reality is there always should be lots to do. As we always revaluate, how we do business and refresh it every company here something that we did in two years ago, that doesn’t work anymore may work again. And we shouldn't say at least we tried it two years ago, let’s not try again because it was a successful. I think our way would be reintroduced ideas that have great prospects for enhancing margin and seeing if we can ring the bell a second time. But, John, maybe you can offer.
John Friedrichsen: I think there is some overlap in some of the loss recurred when we do these acquisitions. I mean, they have been new geographies, new service lines, that outside of back offices, support functions. There is a real lot of overlap. But there is some and we'll get at those. You'll know that most of our acquisitions tend to have earned outs, so we tend to immediately try and evaluate what opportunities are generally lead their operations more or less in tact at least for the earn out period and then accelerate integration beyond that. We think that’s a good way to go above structure on acquisitions and ultimately realize on synergies may not the right away, but certainly this is generally within two-year timeframe. So, we see opportunity and go with that.
Operator: The following question is from Stephen MacLeod from BMO Capital. Please go ahead, sir.
Stephen MacLeod: I just wanted to circle around on the EMEA margins in the quarter…
Jay Hennick: Can you just speak up a little speed, we can’t hear you.
Stephen MacLeod: Okay, is that better?
Jay Hennick: Yes.
Stephen MacLeod: We just wanted to circle around on the EMEA margins in the quarter. They were quite strong, was there anything kind of one-time in nature either in this period or the prior year period that drove those margins higher?
Jay Hennick: Well, above mix, Steve, there the mix was planning more towards transactions. And we spoke a little bit about very-very transaction related revenues where it's profitable actually in Germany and some of the other Central Eastern European region operations. So, I will say that’s certainly at an influence on the margins, some of that I don’t think will realize again going forward at least when you counting on it.
Stephen MacLeod: Okay. That’s great. And then when you put together, your guidance for or sort of targets for 2017, and you’re looking for a flat adjusted EBITDA margin essentially. Can you talk a little bit about where the potential areas are for exceeding the 2016 margin and vice versa potentially being below the 2016 margin, like what levers do you have to pull in 2017?
Jay Hennick: Well, I guess mix can have the impact depending on our expected growth and transactions versus non-transaction revenues. We are expecting that the balanced being relatively closed, obviously we did a large acquisition early in the year-over-year, which has a bigger portion of transaction full-year revenues on the Colliers Northern California business. So, that will increase the portion of transaction revenues, but outside of mix, like I said in our outlook, we're balancing operating leverage which we will get from increasing our business and hopefully continue to work very closely with our people who on productivity, and making investments in our people and some of the technology-related things we mentioned and we always drive multiple long-term. So, future margins important, but at the end of the day our sites are set further down the field and making the right kind of decision and investments around business.
Stephen MacLeod: And then just finally on acquisitions. I know you talk about services and increasing capabilities and existing markets. I mean are there -- how do you sort of view your service offering by market like where do you view yourselves as having holes that you need to fill and whether it's by geography or by service line?
Jay Hennick: Okay. So, that’s a lengthy question because the reality is in the most mature markets we have. We still have service line gas and we can add capabilities. That’s the beauty of this business. So, there are market for market and we’re focused on major markets, but market for market even though we do exceedingly well in a particular market, let’s take London as an example. We have a very, very strong and very high quality group of professionals there, but there is a segment within the London, Greater London market that we really don’t serve very well. And somebody said, how are you doing in London? We’d say exceptional. How do rate relative to your peers? We’d say right up there. We're right at the every single picture of any significance. But in reality, there is a whole segment of the city that becomes open to us, if we’re able to fill that gap. And the same thing applies in retail, in tenant rent, in a whole variety and project management, in property management and that’s the beauty and it’s so hard to articulate. But this industry is so -- when I use the word ginormous and its market for market, and you’ve got a great position and pick your mature market or so you think, hoping you analyze your business, you realize your strength in industrial could be better, your strength in downtown office could be better, your strength in suburban office could be better and. That gives us the opportunity to recruit for additional services or capabilities to look for tuck-in acquisitions that will augment that particular market or region. And so, we believe that 2020 may just be round one of the same story or another five years after 2020 because it's just everywhere. And with the globalization and alteration of real estate amongst major institutions all around the world, it means secondary markets that would not otherwise be on the top of mind and become very lucrative to do business in. And so we’d like to make sure that we have sound operations in some of those regions so that we can capitalize as the market, as the capital goes through the real estate in different geographic regions where they generate higher yield. 
Operator: [Operator Instructions] The following question is from Michael Smith from RBC. Please go ahead sir.
Michael Smith: With your increased credit facility and your comments about potentially larger transactions, I am just wondering would -- could any of those larger transactions be in a new line of business 
Jay Hennick: That's for sure.
Michael Smith: And do you have any in your pipeline now?
Jay Hennick: You're good for a reason. Yes I wouldn't call it in the pipeline, you know pipeline are actionable transactions in stages of discussion and I would say that we have spent a lot of time around a number of different add on opportunities that are significant in size that have leverage points between them and close to the C-Suite et cetera. And so we continue to plan Cs, but I don’t think that there's anything that you know I would say is near term. And those as you know tend to let's call a spade a spade. Those tend to be of higher valuations and I don’t know, we've always been a company that focuses on generating incremental earnings per share over the long term, and if we can execute on our strategy of buying assets at realistic valuations on realistic terms it’s a good game and we should continue to do it as rapidly yet orderly as we can. The larger transactions of good companies that are not be public or might be a great addition to this platform would come at much higher price and could create dilution among other things.
Michael Smith: Okay and just switching gears, like in your regular acquisitions, sales leasing, it’s either the outsourcing. Are you seeing any pricing pressure?
Jay Hennick: Yes, there's always pricing pressure, but we have a way of doing transactions that has stood the test of time which gives the target an opportunity to deliver what they think they can deliver and a Collier shareholders aim for what they get, and I think that resonates beautifully to potential targets and I think it also ensures that Colliers shareholders get what they pay for and so therefore the returns we expect on an acquisition you know 15 plus IRRs we generate one way or the other.
Operator: The following question is from Marc Riddick from Sidoti & Co. Please go ahead.
Marc Riddick: I was wondering if we could spend a little time on your current views on outsourcing and maybe if you can sort of spend a little time on where we are with some of the trends and some of the dynamics that are driving that, it seemed as though some of the prior comments that you had there seemed to be fairly. It seems as though you're fairly positive on where that's going, but I was wondering if you could share some thoughts as to the differences and maybe some of the trend dynamics that we're seeing today versus maybe a year or two ago?
Jay Hennick: There is a lot of one again. Outsourcing is a wonderful thing. There will be more outsourcing in the future. We continue to focus on it. It does not occupy a disproportion amount of efforts. We’re moving for great opportunities that we can add cost effectively from the operation standpoint. We are investing quite a bit in more recurring like services, which I would call recall outsourcing, corporate services, property management, multi-market transactions, things along those lines that I would say, the client is outsourcing. I think that as the markets particularly less mature markets become more mature, we’re seeing more activity in Latin America as an example where the market which was very -- which was, I guess the answer is less mature is becoming more mature larger owners of real estate. Some of them are U.S. another buyers buying product in Latin America or Eastern Europe. One of rundown of businesses and the real estate in a mature matter of using high quality real estate professionals to make least decisions rather than global providers have coming out of a level of sophistications. So, I think looking forward in the next two to three years, we're just going to have a continued maturation of the market. We’re also seeing an interestingly in Africa. Our business in Morocco is doubled over the past year. Morocco is the gateway to some other initiatives we’re looking at in Africa. These are small of the overall scheme them, but just indicative of maturing marketplace around real estate and there funds are allocated to purchase agreements.
Marc Riddick: Great. And I guess maybe it’s a bit of a follow-up on that. It seems though than that maybe these are some of the areas that you might be looking at as far as increasing recruitment efforts and personnel in the next couple of years so or those kind of toward top of the list as far as targets?
Jay Hennick: I wouldn't say they're the top of the list in terms of targets, but I would say that we are looking at some more deeply. We’re looking at our Latin American operations, which frankly is smaller than we like it to be and trying to determine how we could double, triple size of that business over the next number of years. We do have some affiliates in some markets that done decent businesses. But based on the size of the market, they could be running businesses of significantly larger size. And how can we help facilitate that? So, it comes back to lesser opportunities available in the space and that was outside about the next few years here.
Marc Riddick: Excellent. And you’ve spent a lot of time already sort of going over what you’re seeing with the acquisition pipeline and so just generally to summarize. Is it a fair thing to characterize that you are more bullish about the acquisition pipeline today then you were a year or two ago?
Jay Hennick: Not sure, I would say that. I would say we are equally bullish. I think it’s really opportunistic as of the day. If the markets are right and the market sometimes being down or when the markets are right, it is an appropriate time to capitalize. I think the softness that some people are seeing in real estate and maybe some softness that's actually not softness, actually, but it is stable, flat real estate activity, which I will consider to be bad and awful. But stable real estate activity means, the people are in the business are saying, my business is stable, I can’t figure out how the growth it. And on ABCD, commercial real estate perhaps as part of earlier global real estate organization, I can have access to greater clients, better technology, and better tools for my professionals and they will drive my revenues to a different level. And all of those things I think helped us making a cost effective additions to our business. So, I'd say pipelines I feel little bit better this year than they are 17 than they were at this time than they were last year. But remember, we’ve had great start to 17 already when the couple of acquisitions. So, when we'll finish ’17 where we’ve ended ’16 maybe a little bit better.
Operator: So, we do have one more question here from Mitch Germain from JMP Group. Go ahead, sir.
Mitch Germain: Thank you. Jay, just curious you've made some fairly high profile hires in New York. Curious, if there were any other markets that you’re looking to upgrade personnel going forward?
Jay Hennick: We look to upgrade every single market we are very impressive there, but in decision making and New York particularly interesting because two very high profile teams as you know about already in discussions with us for a long period of time, and it seems to culminate really at the same time. They both of them felt that by coming together with their existing team at New York, we could really, we could really move out the ranks and obviously that it tables out the largest transactions in the largest cities. But we are doing that in London, we're doing it in LA even at [indiscernible], we're doing it in capital markets across the West Coast, just phenomena. We're making connections to Western Europe. Big capital markets group in Florida that joined us from another prominent firm and helps our debt capital capabilities. They were the leader for that other firm as well already capable including all of the service and capabilities. Colliers is the place where enterprising people want to be and that's just not a saying. We’re very entrepreneurial, more entrepreneurial than others, less bureaucracy, less noise around where the platforms going, how they are sending and things like that. And you know, if I was high profile recruit and wanted to have clarity and seasoned stable IP calling Colliers all day long versus some of the competition. So, I think we’re in a great position. We surely demonstrated a terrific growth over the long period of time. We’ve done this before and you’ve known it for 20 years. We’ve delivered exceptional value for shareholders. We’ve built even incredible business and really it hasn’t started yet. So, I think you haven’t seen anything yet.
Operator: There are no other questions at this point in time sir.
Jay Hennick: Okay. Thanks ladies and gentlemen for joining us. It went a bit longer than we expected, but we appreciate your participating and look forward to the next quarter’s results. Thank you again.